Operator: Welcome to the Liberty Interactive Corp 2016 first quarter earnings call. [Operator Instructions] I would now like to turn the conference over to Courtnee Chun, Vice President of Investor Relations. Please go ahead.
Courtnee Chun Ulrich: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about business strategies, market potential, stock repurchases, future financial performance, international expansion, the expected benefits and synergies resulting from the acquisition of zulily, the implementation of new marketing and fulfillment processes at zulily, new service and product launches, the proposed spin-off of CommerceHub and Liberty Expedia Holdings, and other matters that are not historical facts. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements, including, without limitation, possible changes in market acceptance of new products or services, the satisfaction of conditions to these proposed spin-offs, market conditions conducive to repurchases, the availability of acquisition opportunities, competitive issues, regulatory issues, and continued access to capital on terms acceptable to Liberty Interactive. These forward-looking statements speak only as of the date of this call, and Liberty Interactive expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Interactive's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA and adjusted net income. The required definitions and reconciliations, preliminary notes and schedules 1 through 4 can be found at the end of the earnings press release issued today, which is available on our website. This call also may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding Liberty TripAdvisor Holdings. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These forward-looking statements speak only as of the date of this call and Liberty TripAdvisor Holdings expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty TripAdvisor Holdings expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. Now, I'd like to introduce Greg Maffei, Liberty Interactive President and CEO.
Gregory Maffei: Thank you, Courtnee. Good morning out there to our listening audience. Today, speaking on the call besides myself, we will have Liberty Interactive's CFO, Chris Shean; QVC's President and CEO, Mike George; President and CEO of zulily, Darrell Cavens. And during the Q&A portion of the call, we will also be available to answer questions about Liberty TripAdvisor Holdings. So on to the highlights. QVC had a strong quarter with good results, growing U.S. revenue 5% and adjusted OIBDA by 7%. On a consolidated basis, revenue was up 4% with adjusted OIBDA up 3%, excluding the startup cost for relatively new French operation. Also in the first quarter, consolidated mobile penetration was 57% of QVC.com's orders, continuing a very positive trend with U.S. mobile penetration at 56%. Gratifyingly, zulily's revenue was up 16% and adjusted OIBDA was up 475%. We also during the quarter repurchased -- excuse me, during the period, February 1 to April 30, we repurchased $193 million of QVCA shares. Liberty Ventures, turning now to that. Its anticipated $2.4 billion investment in Liberty Broadband is over $100 million in the money on an market basis, using the current price, and about $500 million ahead on an NAV basis, if you look through to the value of its charter shares. We filed the S-1s for the spin-offs of CommerceHub and Liberty Expedia. And at Liberty TripAdvisor, we had continued the Instant Book global launch, essentially now complete, enabling TripAdvisor to book you over 500,000 hotels. Instant Book is dilutive in the short-term to revenue growth and profit margins. But over the long-term, we believe it's both a revenue opportunity and strategically important, and it will most importantly of all create the best user experience. We look forward seeing many of you on Monday, May 16 at the Bi-Annual QVC Investor Day in Westchester, Pennsylvania. Please reach out to Courtnee and the IR team for more details, if you do not already have them. And with that, let me turn it over to Chris Shean to discuss Liberty Interactive's financials in more detail.
Christopher Shean: Thanks, Greg. I would like to call your attention to a figure in the earnings release, adjusted net income for the QVC Group, here we adjust for the non-tax deductible purchase accounting amortization related or arising from the acquisitions of QVC and zulily. You can this on schedule 4 of the press release. Now, let's take a quick look at the liquidity picture. At the end of the quarter the QVC Group that attributed cash and liquid investment of $440 million and $6.7 billion in principal amount of attributed debt. QVC's total debt to adjusted OIBDA ratio as of March 31, as is defined in its credit agreement, was approximately 2.85. Please note that zulily's OIBDA contribution does not count towards the leverage ratio under the QVC credit agreement. Now, I'll hand the call back over to Mike George for additional comments on QVC.
Michael George: Thank you, Chris. We generated strong sales growth in the quarter, achieving local currency gains in every market, except Japan. And we're continuing the benefit, we believe, from our differentiated merchandise offerings, immersive platforms and increasingly personalized customer experiences. And we also delivered strong e-commerce and mobile growth in the quarter and continue to expand our customer base. And zulily had a terrific quarter, driving mid-teen revenue growth and strong margin expansion, and our teams are working together effectively to maximize the potential of both the QVC and zulily brands. Looking now at QVC's consolidated results for the quarter. On a constant currency basis, revenue increased 4%. And excluding France, adjusted OIBDA grew 3% and adjusted OIBDA margin declined 28 basis points. We did experience some pressure on adjusted OIBDA margins due to higher freight expenses in the U.S. and soft performance in Japan, along with the France start-up cost. There was no meaningful spending on our new global business services initiative in the quarter. Following the activation of our new operating model, we began to allocate certain fixed costs for management reporting purposes differently beginning in the first quarter, as we detailed in the press release. Historically, we allocated these cost based on the market from which the services were provided. Now, as more of our cost support initiatives in multiple markets, we're allocating cost to the markets that will benefit from the expenditures. The net impact of this new allocation methodology was a 64 basis point increase to the U.S. segment adjusted OIBDA margin and a 148 basis point decrease for the international segment. The changes had no impact on consolidated results. In the remainder of my comments, I'll describe year-over-year financial results, excluding the impact of these new allocations, which we believe will provide a more accurate understanding of underlying performance trends. So turning to the segment results. Our U.S. business grew revenue 5% in the quarter, reflecting strong 7% volume gains, which were partially offset by lower average selling prices. We also benefited from a reduction in return rates and the extra leap year day. We were once again pleased with the strong growth in apparel, accessories and the home categories. U.S. adjusted OIBDA increased 4%, excluding the cost allocation change, and OIBDA margin declined 27 basis points. Freight expenses increased approximately 70 basis points, more than offsetting strong improvements in initial product margins, lower fixed cost and favorable inventory obsolescence. This jump in U.S. freight expense reflected carrier price increases that went into effect last June and a 13% jump in USPS rates this January, along with 7% volume growth. We expect the impact from the freight rate increases to moderate in Q2 and be largely behind us by Q3, as we begin to see offsetting benefits from a number of freight cost reduction initiatives underway, along with the launch of our West Coast DC. I'd also note that while our Easy-Pay receivables balance decline 30% from yearend, it's up 28% year-over-year. The largest driver of this increase is a new program we launched in the U.S. in Q3 of last year, in which we allow users of our private label QCard to put any purchase on the three easy payments. In Q1 we saw our QCard penetration increase 345 basis points to 23% of total net sales. And while this new Easy-Pay practice hasn't materially impacted our overall sales, it clearly adds value to our profitable QCard program, saves on credit card processing fees and is an effective tool to help us protect and grow the QCard overtime. Looking now at our international segment. On a constant currency basis, international revenue increased 3%. We saw gains in all categories, except jewelry, with particular strength in accessories and home. Our European business has performed particularly well, led by the U.K. and Germany, but Italy also grew local currency revenue at the best rate in the last six quarters. Although our France business has started slower than we anticipated, we continue to build brand awareness in the market and are seeing solid repeat buying behavior and remain confident in the long-term potential of the French business. The overall very strong results in Europe were partially offset by softness in Japan, which declined in the low single-digits. On a pre-allocation basis and excluding the France startup, international adjusted OIBDA growth was 1% and OIBDA margin declined 27 basis points. We saw significant OIBDA margin expansion in Europe with particular strength in Italy and Germany, but these gains were offset by weak results in Japan, including higher freight expenses due to increased mix of drop ship, higher commissions and severance cost associated with some leadership restructuring. We're focused on getting our Japan business back to sustainable top and bottomline growth in the face of poor economic conditions and the continued pressures from the rising cost of TV carriage. Our new management team in Japan is focused on better executing the core QVC model by strengthening our QCV lineup, enhancing and broadening our brand and product portfolio, leveraging our new website to drive e-commerce business and delivering a consistent customer experience. And in our joint venture in China, we saw strong local currency revenue growth of 21% and a 24% reduction in adjusted OIBDA losses, as we benefited from our expanded TV distribution in Shanghai and strong cost management. Our consolidated total customer base grew 2% on a trailing 12-month basis to 12.7 million customers, with the U.S. customer increasing 2% to 8.2 million. Including our China joint venture, we served 14.2 million customers in the last 12 months, a 4% increase from the prior year. And we experienced improved customer retention in every one of our markets. Our fashion businesses continue to be a key driver of growth globally. We had terrific success with proprietary designer brands such as LOGO by Lori Goldstein, Susan Graver and Lisa Rinna in the U.S. Our strong performance in accessories is driven by footwear, including Vionic, Skechers and Clark's, the resurgences of the swimwear business and intimate apparel. We had several successful fashion launches in the quarter, most notably the debut of C. Wonder on an exclusive basis. We launched C. Wonder on zulily first, and then subsequently on QVC in the U.S., U.K., Italy and France as well as on all of our digital platforms. And in Q2, we have just recently launched AnyBody, a major new proprietary brand focused on growing trend in loungewear. Our home business has also fair well globally. In household we experienced strength in cleaning, storage and organization as well as from products brought to QVC by Lori Greiner. In fitness, Nutrisystem was a top performer. In home decor, Serta and Select Comfort mattresses, MyPillow and our proprietary brand Northern Knights led the growth. And in Q2 we have a number of really exciting launches in home, including Scott Living in Style, Isaac Mizrahi Live! Home and Shark Tank judge Kevin O'Leary's Wonderful Discoveries. And last month, we once again partnered with NBC's Today show to give hopeful inventors the opportunity to earn a spot on QVC. Now, this time we've focused our attention on mom entrepreneurs, and nine of the best entrants made it to a-week long series on the Today show, where viewers picked their favorite products. And the winner, Krista Woods, sold out her product in a few minutes, Glovestix, on our Saturday morning program. Our beauty business remains a strength globally. Elements, our number one beauty brand in the U.K., offering anti-aging skincare and body therapies used in their spas, and was launched in the U.S. in our March beauty event to strong customer response. And we were one of the first retailers to debut DERMAFLASH, an innovative skincare device for at-home facial treatments, and again, the customer response has been tremendous. We also premiered JeNu, another highly innovative beauty device, utilizing ultrasonic technology that increases the absorption rate and effectiveness of the skincare products that our customers use everyday. Consumer electronics declined in the quarter, primarily in the U.S., reflecting our decision to reduce airtime. As a result, we increased productivity and are now transacting more than 60% of our electronics business off-air. Jewelry continues to be soft globally. We saw continued declines in the bronze, gold and silver categories. And we continue to refocus assets into better performing categories, such as our proprietary Diamonique and Affinity brands. And we'll be adding a number of new designer brands later this year, such as Stella & Dot, Mario Buccellati, Jane Taylor and Franco P. We continue to extend and enhance our commerce platforms, including our China joint venture. Our TV broadcast now reached 361 million homes at the end of March. That's a 13% increase year-over-year. In the U.S. we launched a new system to repackage clips from live shows into programs that can be distributed on all of our commerce platforms. And the first clip they show, the best of Fashion's Night In, debuted on QVC Plus in March. We recently added the best of PM Style with Shawn Killinger and the best of In the Kitchen with David. And we're planning to launch our first clip-based digital-only channel on QVC.com, called Beauty iQ, that will debut in this quarter. We generated strong e-commerce and mobile growth in the quarter. Consolidated e-commerce revenue grew 10% to 45% of total revenue. That's up 250 basis points. U.S. e-commerce revenue increased 10% as well to 50% of total revenue, also up 250 basis points. And mobile orders continued strong. They grew 30% on a constant currency basis to 75% of e-commerce orders. That's an increase of 935 basis points. And as our work on rearchitecting our global websites continues, we've began to update the product detail format, including automatic video play on our product detail pages, more visual customer review sections and enhanced approach to choosing color and size, and the capability to share more product details through videos and tips. We launched the new format in Germany last month, and we'll complete the deployment in the U.S. and U.K. over the next couple of months. We also launched a new website in Japan in March to bring it in light of our global standard. It's the most significant redesign of the Japan site in well over a decade. Subsequent phases will include enhanced product detail, pages and on-site search capabilities, as well as improved check out and a refreshed smartphone app. And we continue to build on our social media success. In Q1 our social team began executing a live streaming video strategy, using Facebook's new live feature to deliver real-time conversations among the QVC community. Examples include David Venable, using the new all All-Clad cookware set to make a recipe live from his home, behind-the-scenes look at the Scott Brothers' home live from Las Vegas and Beauty How-Tos with Courtney Cason live from BeautyCon in Dallas. To date, more than 2 million minutes of live video content have been viewed on Facebook Live across 18 of QVC's Facebook pages. These live videos have reached more than 6 million people. Have been viewed more than 1 million times and have been shared or commented on or liked by nearly 100,000 people. We're also adapting to the changing marketplace and strategically investing in our customer experience and service operations. As we previously announced, we closed our Florida contact center in March due to the shift to online ordering. And we're making a good progress toward the opening of our newest distribution center in Ontario, California in late Q3, enabling faster delivery times for our customers in the Western U.S. and reducing freight expenses. I also want to take a moment on this call to recognize Dermot Boyd, our U.K. market leader, who announced today that he will be retiring at the end of year. Dermot was one of our very first employees in the U.K. and over his 23 years with the company, he has helped build an outstanding business and a terrific team in the U.K., and we are grateful for his many contributions. Dermot will stay in his role through December, and we anticipate announcing his successor later this summer. And finally, before I turn the call over to Darrell, let me share a few thoughts on zulily. Now, we are thrilled with both the performance at zulily and how well our two teams are working together to leverage the power and the capabilities of both brands. We formed cross-functional teams, focused on driving merchandise, marketing and operational benefits, and we've been actively testing and cross-promoting PSVs and other relevant product offers. We've launched some of QVC's best brands on zulily to strong results and we're sharing marketing and platform-related knowledge and best practices. And we're also working to identifying great plans to capture savings from procurement, supply chain and operational efficiencies. And, we look forward to sharing more details next week at our Investor Day in Westchester. And with that, I will turn the call over to Darrell.
Darrell Cavens: Thanks, Mike. And thanks everyone for joining today's call. I am pleased with our first quarter performance and our momentum so far in 2016. First quarter revenue came in at $355 million, up 16% year-over-year and adjusted OIBDA came in at $23 million, up 475% year-over-year. Our strategic efforts last year to get back to an amazing daily customer experience and strong operational execution are paying off, and I'm excited about the outlook for the rest of the year. First, I'll provide an update on our efforts with QVC. Second, I'll give an update on what's driving stronger growth, including our significant profitability expansion this quarter. And lastly, I'll walk through my thoughts for the rest of 2016. First, we continue to make some great progress in partnering with QVC. We've put a team in place that is solely working on identifying new opportunities including cross-selling key brands, targeting new customers and sharing insights around our technologies to help us both think about our commerce businesses. We've made good progress here and we'll share more detail around this at the QVC Investor Day next week. Now, an update on our core business. Our efforts over the last year in marketing, merchandising, technology and operational execution are all contributing to an improved customer experience resulting in stronger growth. First, on marketing. As you may recall, we made a shift early last year into broad-based marketing channels with a focus on acquiring customers with a higher lifetime value. Since then we continue to see the quality of our acquired customers improve and saw Q1 orders increase 18% year-over-year, up from 16% growth in Q4 and 8% in Q3. Repeat is a key component of this sustained growth with 90% of our total orders in Q1 coming from repeat customers, up from 86% a year ago and flat from the fourth quarter. Second, we put a considerable amount of investment into improving our daily site experience. Our focus on fresh themes and new brands at great values everyday remains the primary reason for why our customers come back to us again and again. In the first quarter we rolled out new technology, which allows us to release more distinctive creative themes across all our platforms on a daily basis. The new technology allows us to make sure each day is special and highly differentiated from other retail experiences. Mobile also continues to be a key driver for our business. In the first quarter we released new layouts in our apps, which include both more and larger images of our daily events. In Q1, 62% of orders came from mobile devices, up from 55% a year ago and 59% in fourth quarter. Lastly, regarding our customer experience. We continue to see improvements in our operational execution. We reduced our average delivery times in Q1, both compared to the fourth quarter and the same period a year ago. We also continue to grow our vendor fulfillment services business bringing more of our repeat vendors on to our third-party fulfillment platform. As a reminder, this program allows vendors to pay zulily to store their inventory in our warehouses for our event or other retail channels, without bringing inventory on to our balance sheet. By being readily available on our warehouses, we're able to ship the units significantly faster than waiting for the vendor to ship to our warehouses, after the orders are placed. For the customer, this can help reduce ship times and cancelled orders. We believe that this in turn results in a higher likelihood that you'll shop with us again. Next, we saw significant improvement in our profitability. Our adjusted OIBDA margin expanded from 1% to 7% as a percentage of net sales, driven by strong supply chain execution as well as operating improvements. Our gross margin improved, as a result of operational efficiency from our transportation and fulfillment center automation investments. Our SG&A costs, excluding stock-based compensation, came down as a result of leverage across the business, as we continue to grow our topline, including some corporate cost efficiencies with QVC and Liberty as well as higher capitalized cost for software development. Note that in Q1 of 2015 was included $1.2 in restructuring expenses related to the closure of our U.K. office. Lastly, I am pleased with how we started 2016 and our opportunity for this year and beyond. Right now, our team is doing well and we are experiencing some of our strongest operational execution ever across merchandising, technology and our supply chain. We remain incredibly focused on maintaining our great execution and accelerating our new customer acquisition to drive continued strong growth in 2016 and beyond. As a result, we remain opportunistic in our marketing investments throughout 2016. With a strong foundation, we must focus on ramping up new customer acquisition. At just 5 million active customers, I firmly believe there is significant more opportunity for us to expand our brand and market presence in the U.S. and internationally. I look forward to sharing more with you about our opportunities to drive long-term growth at the QVC Investor Day next week. With that, let me turn the call back over to Chris.
Christopher Shean: Thanks, Darrell. Moving onto Liberty Ventures, let's take a quick look at their liquidity picture. At the end of the quarter, the group had attributed cash and liquid investments of $2.9 billion and $2.1 billion in principal amount of attributed debt. The value of the public equity method securities and other public holdings attributed to the group was $3.3 billion and $1.4 billion, respectively, at the end of the quarter. Now, I'll hand the call to Greg for Q&A.
Gregory Maffei: Thank you. Thanks, Mike, Darrell and Chris, and to our listening audience. We appreciate your continued interest in Liberty Interactive, including QVC and Liberty Ventures. With that, I'd like to open the call up for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Rick Patel of Stephens.
Rick Patel: Can you provide some color on QVC's new customer growth? I'm curious, how many of those customers came from e-commerce versus television? And anything to call out in terms of international new customer acquisition and perhaps your confidence in being able to turn around the Japan business?
Gregory Maffei: So on new customer acquisition, I would say, I don't have the exact numbers for Q1 in front of me, but we've been very consistently driving about 70% of new customers coming in through our digital platforms. So we've been and it's might even be slightly over 70% now. So generally we have been pleased to see new customers really adopting the digital platforms, and I think that's enabled us to continue to sustain a pretty effective rate of new customer growth over the last couple of years. In terms of Japan, we feel really good about the team in place. We see lots of opportunities quite frankly to execute better and not feel totally dependant on seeing some big turnaround in the economy. So the negative in Japan, as I do worry about the economic outlook, certainly the news there continues to be challenging. But we believe in the model and we think we can get to a more consistent level of execution and are modestly optimistic about turning that into positive growth over the coming quarters. But I hate to commit to those kinds of things until we really see it and see it on a sustained basis, but I would hope that Q1 is a bit of a low watermark for us, especially as it relates to the OIBDA performance, which was very challenging and an unusual combination of events to make some modest topline pressure really hurt the bottomline, I think we can do better there.
Rick Patel: And can you also talk about the timing of expenses associated with the business services center, I'm just curious when the majority of that will hit? And secondly, can you also speak to any expenses that maybe associated with the new West Coast DC that we should keeping in mind from a modeling perspective as the year progresses?
Gregory Maffei: So at a high-level, I think have shared, that there's about $11 million in GPS cost could be incurred this year. We probably have hit less than $1 million of that in Q1. We haven't given kind of precise quarterly sequencing, but it will be more evenly spread over the next three quarters, slightly weighted towards Q3 and Q4. And the West Coast DC, again, I don't know if we've given any specific numbers. There will be some amount of incremental fixed cost that we'll start to see hit us a little bit in Q2, but more Q3. It's in the range of a few millions. And if you think about the benefit we're getting from the closure of the contact center in Florida, those things roughly naturalize each other in the year.
Operator: Your next question is from the line of Ed Yruma with Pacific Crest Securities.
Ed Yruma: I guess, first, can you kind of contextualize, very impressive performance at zulily, kind of in terms of profitability, how much of the improvement is due to kind of initiatives you had in place prior to the acquisition? How much of it is due to maybe some of the synergies you're getting as being part of QVC?
Gregory Maffei: Darrell and Mike, each want to take a cut at that?
Darrell Cavens: I can take a first stab and then kind of Mike can jump in, but I think if you look at our kind of profitability, again, very pleased with what we saw in Q1. Most of that's coming from just our strong kind of operational execution. As I said on the script, we put up a pretty significant set of investments in 2014 and into early 2015 to our fulfillment and logistics network, expanding that, and putting in places set of processes that allows us to ship from those centers geographically, and I think what we're seeing now is that really starting to pay off. At the same time we are seeing some savings from the consolidation with QVC and being able to pull out some public company cost there, but I think overall it's just really coming from strong execution. And Mike, you'd add anything?
Michael George: Yes, I would just underscore that. I think both on the revenue side and the OIBDA side, it's largely about strong execution at zulily. We believe strongly when we made this acquisition last year that the company had lots of upside independent of these synergy benefits and I would say that the zulily team is over delivering on our expectations, and just a stellar, stellar job on the operating side. And so the good news is as we begin to see more material level of benefits from both revenue synergies and cost synergies, I think that benefit is yet to come in the results.
Ed Yruma: And one follow-up, if I may. I'm not sure if I missed it, but did you quantify the amount of volume you're now doing on the TSV that is appearing on the zulily daily deals e-mail? And then I guess conversely, kind of any idea of how much pick-up you're getting by advertising on QVC?
Michael George: So let me take a cut at that and Darrell can jump in. So we haven't quantified any numbers on the TSVs. We just recently moved to a more frequent schedule of the TSVs. The net benefit to make sure everyone's clear, comes to QVC because they have to come to QVC to make the purchase, it's certainly not material in the scheme of opportunities at QVC. But what we especially like about it is that, there's been a nice flow of new customers from zulily to QVC through this program, again, I wouldn't say highly material yet, but a meaningful number and those customers, the quality of those customers as we measure customer quality, is as probably as good and actually probably better than any other marketing acquisitions channel. So we do think early results would say that we are clearly proving out the theory that there is really lot of really wonderful customers on the zulily platform that would be engaged by QVC and could become good QVC customers if we can expose them to Q. We're doing it at a very major pace. We don't want to over strip either brand, but we feel good about the direction. Anything else, Darrell, on that?
Darrell Cavens: No. I think that's right. I think we were kind of cautiously watching those numbers, but feeling good about the trends we're seeing. And I think the second part of your question was around any zulily mentions on QVC. And I think it's a little early to say, we've seen much there, but I think we're feeling, like we understand the opportunity more and more. I think where I'm really excited to seeing is just on getting a set of the high quality QVC brands that over the years we've not been able to run here at zulily, and starting to bring those brands on to the zulily platform and seeing good momentum with that expansion. And so I think there is opportunity there. Again, still early, but very pleased by the trends that we're seeing there.
Operator: Your next question comes from the line of Alex Fuhrman with Craig-Hallum Capital.
Alex Fuhrman: Was curious what you were mentioning about relaunching the websites in certain markets. Was wondering, if you could give us a little bit of a history, just when you have relaunched the interface for a website in any particular country? What is typically the experience of that? Does that tend to grow revenues over time? And then how should we think about typically the first three or six months after a redesign like that? I mean, do you tend to lose revenue over the first couple of months as people get used to the new site or is there really no short-term impact
Michael George: I would say, as a general statement, we haven't been seeing a lot of negative short-term impact, partly because we've been trying to do this on a much more continuous basis. So rather than a complete relaunch of the whole site, typically we're kind of rearchitecting it part by part, testing very carefully to see customer reaction. And going slower or going faster based on how customers respond. The one exception is Japan, which was a more comprehensive redesign, but even that was only some of the most front-facing pieces initially. We'll go deeper into the site in the coming months. And so generally speaking, I would look at all of these as a way to continue to make these platforms more relevant, hopefully to drive somewhat better conversion over time, but probably not highly material in this sort of immediate financial results, either positive or negative. That said, in Japan, our e-commerce business had been slowing down substantially over the last few years. The only market we weren't seeing healthy growth -- and we do think that was in large part was due to very outdated site, and so I'm hopeful this will be another nice accelerant to get the Japan business moving in a better direction.
Operator: Your next question comes from the line of James Ratcliffe of Buckingham Research.
James Ratcliffe: Two on Ventures, if I could. First of all, the $850 million in cash that's coming out for the $500 million in debt conversion and $350 million paid out to TWC holders. Where is that coming from? My math, you have about $500 million left after you paid the $2.4 billion to Broadband? And secondly, for the publicly traded stuff that's going to be in Ventures post the split off, something other than Broadband and Charters, Interval, FTD, the twix and time. Are those all non-strategic? And is there any reason other than a desire not to pay taxes on the gains that you would continue to own them?
Gregory Maffei: So on the first part, I think, we'll have some short-term borrowings, which will cover the cash needs. And longer-term, we'll have a bunch of an opportunity to refinance some of the securities that were put back to us. So we'll see how that plays out. But we're comfortable, we have adequate liquidity to finance all our capital or the cash needs we have here in the short-term. On the second question, you know, Liberty, we're always little flexible, so something could be strategic today and non-strategic tomorrow or vise-a-versa. And I think it's little bit depend on how some of the things happen. Both companies have gone through relatively major transactions, FTD and its combination to begin to provide, and Interval and its combination, as well and the Starwood properties, so we'll see how those play and whether there is a larger role or whether they become source of capital.
Operator: Your next question comes from the line of Barton Crockett with FBR Capital Markets.
Barton Crockett: I wanted first a quick update on the spins of Liberty Expedia and CommerceHub, in that how confident are you that those still could get done by the second quarter? They haven't been completed yet. I'm just wondering what remains to be done for those to actually take effect?
Gregory Maffei: Well, I think as I've noted, we filed the S-1s. We have no announcement to make about change in timing. I will give the general comment that CommerceHub is probably easier out of the chute just because it's a less complicated transaction, where we own 100%, fewer regulatory issues.
Barton Crockett: And if I could switch gears a little bit, on the QVC side. I think you made the comment that internationally everything grew on the top line except for Japan. And I was wondering if you can make the same comment about OIBDA? And then you had some of foreign exchange pressures and currencies have been changing. At this point based on what we see of currencies, would you see less kind of foreign exchange headwinds in the second quarter than you saw coming out of the first?
Michael George: All markets in Europe had expanding -- had healthy growth in OIBDA particularly strong in Germany and Italy in terms of OIBDA margin expansion, but all had healthy OIBDA improvements. And on foreign exchange, yes, it should, generally speaking, lessen over the course of the year. So I'm hesitant about predicting anything right now with the volatility we've seen, but generally speaking, I think just looking at the comps it should certainly lessen.
Operator: Your next question comes from the line of Victor Anthony with Axiom Capital.
Victor Anthony: Just quick question on, maybe you'll address this next week. Just wondering about the road map for country launches beyond France? The second question is really on the change in media landscape with regards to over-the-top? I know in the past you've talked about, there's a natural incentive for these over-the-top offerings to carry QVC programming. Has that changed or how do you see that changing in the future?
Gregory Maffei: I'm sorry I didn't hear the last part; the change in the over-the-top. There was something about over-the-top for woman or -- ?
Victor Anthony: No. Sorry, I'll say it a bit louder. So the media consumption pattern, the change to over-the-top offering. I know in the past you've said there's a natural incentive to carry QVC programming. Just wanted to see whether or not that statement you made in the past has changed.
Gregory Maffei: Mike you want to comment on the international roadmap. I think we've generally given the sense of what's important before.
Michael George: No news to share on country launches. We've clearly put more focus on getting France started and then certainly the zulily partnership. We're taking a pretty careful look at other opportunities against a high bar just because we see the number of things we can do kind of within the family before we add in the expense of additional markets. So we'll talk a little more about in the Investor Day, but I would say, we're still opportunistic, we're still looking at a number of markets, but nothing is kind of far down the path at this stage. And in terms of over-the-top, we do see over-the-top as a good distribution platform for us that can we think over time cover any erosion we might see in pay-TV and hopefully give us some additional opportunities beyond that, so not a lot of new news on that front. I would say, probably our most important over the top partner at this point is Roku. Apple TV, also meaningful, and we're continuing our Apple TV application. As some pay-TV providers try to get subscription based OTT services going, we think that will be a good opportunity for us. Having said all that I would say that none of these matter today, they're just not where the eyeballs are at least for our demo. But as the eyeball shifted there was kinds of formats we think we will be there.
Operator: Your next question is from the line of Michael Weisberg with Crestwood Capital.
Michael Weisberg: A couple of things. I noticed the return rate was lower. I assume that was just on the core business. That did not relate to zulily?
Gregory Maffei: That's correct, just QVC.
Michael Weisberg: How does that work into the numbers? What kind of margin benefit do you get from that?
Gregory Maffei: It's really hard to say, because it just depends on the mix of returns and the kinds of returns that they're returning, consumer electronics items or apparel items. So our P&L is pretty well-architected to handle kind of ups and downs in return rates. If we're selling products that return at a higher rate those products typically have a higher built-in margin, so absent big swings we don't see it as a key driver of impact on the P&L.
Michael Weisberg: And then speaking of margins, freight rates have been a headwind since the third quarter, and I guess shipping and the handling since basically the second quarter last year. Do you see an opportunity to get back to expanding OIBDA margins in the United States? And when might that occur?
Gregory Maffei: So we're happy to have the worst of the pressure behind us with this call, with the caveat that we don't bake any kind of specific forward looking guidance. Clearly we have now anniversaried the S&H impact and so we would expect shipping and hailing revenue to more closely track overall sales, essentially beginning late in Q1 and then obviously extending beyond. And in terms of freight pressure, as best we can tell, we think that Q1 is certainly the worst spot for freight pressure. As I mentioned I think we'll still see some in Q2, but at a moderated rate. And then we believe that the initiatives we have in place to reduce freight cost will get us back to a point of freight being neutral at worst to the P&L in the back half of the year. Lots of caveats about exactly how the business mixes out, but basically we see freight as a modest pressure in Q2 and not beyond that. And so overall, we do think we're at that place, where we should start to return to OIBDA margin expansion, or at least I can say that in terms of kind of structural pressures on the P&L, there aren't any that we're looking at going forward that would be sub-material that they would suggest that as long as the business is healthy and sales are healthy that you wouldn't see a corresponding sort of improvement in OIBDA margins, but again, a little bit of pressure still to be pushed through in Q2 on the freight side.
Operator: Our last question comes from the line of Matthew Harrigan with Wunderlich Securities.
Matthew Harrigan: Thanks for taking my question. I was curious Facebook Live has some wonderful attributes for year and streaming new action products in real time, the national broadcast, I guess you can watch what your friends are doing. There's pretty complicated software engineering behind that. Is that something you would ever try to replicate in-house or is it just too much of a high-wire act trying to do that? And secondly, I maybe confused on this, I think you still own Bodybuilding. It feels like an afterthought right now just kind of gets collapsed in the spa rec a couple years ago. But is there anything interesting strategically you could do with that? I thought you had some incremental branding opportunities in all that at one point in time?
Gregory Maffei: I'll let Mike you comment on the Facebook stuff and then I'll talk about bodybuilding.
Michael George: So on Facebook Live, I mean, we think this is a powerhouse news service and really pleased with how the teams are trying to innovate around it and find different ways to engage our customers. It's such as a perfect platform for us, the combination of Live and the kind of that community and engagement we enjoy. So I think we're in early days at figuring out what it could mean for us. In terms of trying to do something like that internally that that feel like a high wire act, I'm not sure actually its going that far, but we just see, the opportunities in front of us to leverage other peoples platforms, the kind of performance we're seen on Instagram as another example, then I could pick out many. I just think there is a lot there for us to capture. We have an enhanced YouTube channels, are getting more aggressive with our YouTube offering. So I think a lot of opportunity there. And behind that is actually a fairly heavy lift internally to develop the kinds of media management capabilities tool sets to be able to repurpose content quickly in addition to having multiple live streams. So there is a fair mount that we need to do internally to really take advantage of all those platforms and to do it in a scaled and automated way. And we think there is a lot of opportunity in front of us.
Gregory Maffei: As far as Bodybuilding, help me understand what the -- maybe you could refresh the question, I'm not sure what you're asking about the strategic nature of it?
Matthew Harrigan: I mean, is it something you're almost significantly going to dispose of? I think a few years ago it looked like there was some incremental opportunities of branding and it was rather for two years there was like a 30% growth business. I guess you had some issues with military being a really hot area and that actually subsided after withdrawals and all that. But it's something you used to talk about, and now it just seems a little by the wayside. I'm just curious if it has any relevance to you or do you still it's think it's interesting to look at?
Gregory Maffei: Well, I think it's interesting for a several reasons. First, it will be part of the LEXPA spin, and is an important element of that LEXPA spin, and as we filed out the S1. Secondly, you're right to note business has slowed over the last few years, partly due to some international challenges, partly due to, I'd say more competition in the U.S., but we have brought in a new CEO about five months ago not even RJ, and we're very excited about what he and his team are doing. So I remain very bullish in the business and I think we're already beginning to see some positive results. End of Q&A
Gregory Maffei: Thanks to all of you who listened today. And as I know, we'll see some of you at the QBC Investor Day next week. And for the rest of you, I hope to you see you or hear from you on next quarters conference call. And thank your continued interest in Liberty Interactive.
Operator: Ladies and gentlemen, that does conclude today's conference call. You may now disconnect.